Operator: Greetings and welcome to the Buenaventura Fourth Quarter 2017 Earnings Conference Call. [Operator Instructions] As reminder this conference is being recorded. I will now like to turn the conference over to your host, Ms. Barbara Cano of InspIR Group. Thank you. You may begin.
Barbara Cano: Thanks, Melisa. Good morning, and welcome, everyone. Presenting on the call today is Mr. Victor Gobitz, Chief Executive Officer. Also present and available for your questions are Mr. Leandro Garcia, Vice President and Chief Financial Officer; Mr. Gonzalo Eyzaguirre, Chief Operating Officer; and Raúl Benavides, VP of Business Development. If you’ve not yet received a copy of the earnings release, please visit www.buenaventura.com, where our webcast presentation is also available to accompany today’s discussion. Should you need any assistance please contact InspIR Group in New York at 646-452-2334. Before we begin, I’d like to remind you that this call will include certain forward-looking statements. These statements relate to expectations, beliefs, projections, trends and other matters that are not historical facts and are therefore subject to risks and uncertainties that might affect future events or results. Descriptions of these risks are set forth in the company’s regulatory filings. Statements made on this conference call should be considered together with these cautionary statements and other information contained within the company’s earnings release dated February 27, 2018 as well as the information contained within the company’s most recent periodic reports filed with the BVN. With that, I’ll now turn the call over to Mr. Victor Gobitz, Chief Executive Officer. Mr. Gobitz, please go ahead.
Victor Gobitz: Thank you, Barbara. Good morning to all, and thank you for attending this conference call. We are pleased to present the fourth quarter and full year 2017 results of Compañía de Minas Buenaventura. We have prepared a sort PowerPoint presentation, which is available in our web page. First of all I’d like to welcome Leandro Garcia to his new position as Chief Financial Officer. We are glad to have Leandro joining Buenaventura’s management team. Before we go further, please take a moment to review the cautionary statement shown here on Slide Number 2. Moving on to Slide 3. Highlights were as follows. In this Q4, EBITDA from our direct operation was $116.6 million, which is an increase of 44% compared to the same period a year ago. In 2017, net income was $60.8 million compared to negative $323.5 million a year ago. The net debt to EBITDA ratio was reduced to 1.4 times. The company debottlenecking program is in progress, with the results expected to be gradually reflected from 2018 to 2020. Yanacocha purchased the International Finance Corporation’s 5% equity stake in Yanacocha for $48 million in December 2017. In 2018, Yanacocha agreed to make a capital reduction, therefore Buenaventura’s stake in Yanacocha increased from 43.65% to 45.95%. In June 2017, Cerro Verde extended the maturity of its Syndicated Loan until year 2022 and in December 2017, repaid $ 220 million. Therefore the outstanding balance is therefore $1.3 billion as of December 31, 2017. In line with Buenaventura’s dividend policy, a dividend payment of $0.03 per share will be declared. Moving on to Slide 4, financial highlights. Total revenues in 2017 were $1.2 billion, which is 19% higher in comparison to a year ago. EBITDA from our direct operation was $372 million, which is 11% in comparison to last year. EBITDA including our affiliate was $714 million, which is 11% higher in comparison to last year. Net income in 2017 was $61 million compared to negative $323.5 million a year ago. And you will know in 2016, net income included an impairment of $388.2 million coming from Yanacocha. Moving on to Slide 5. We are showing our strategic map, where you can see our portfolio of operations and projects. The capital B from the logo of Buenaventura as usual we are using it as visual index for the following slides. Here, we would like to point out, in the right part of the slide, that the ratio of net debt-to-EBITDA has been reduced to 1.4 times. Moving on to Slide 6, attributable production. Total gold equity production, in 2017 was 631,000 ounces, which was in line in comparison to a year ago. However, in terms of our direct operations, we produced 398,000 ounces, which was 17% higher in comparison to a year ago, mainly explained by a new production coming from Tambomayo. Silver equity production for 2017 was 26.4 million ounces, which was 7% higher in comparison to a year ago. Based on the better results coming from Uchucchacua and El Brocal. Copper equity production was 122,000 metric tons, 4% lower in comparison to a year ago. Finally, in 2017, more than 65,000 metric tons of zinc were produced 6% higher in comparison to a year ago. This increase was mainly due to Uchucchacua higher production. Moving on to Slide 7. As you can see the consolidated volume sold from our direct operations, significantly increase, in the case of gold, is explained by the volume sold coming from Tambomayo. And in the case of silver, it is explained by the volumes sold coming from Tambomayo and also by higher silver grade coming from El Brocal. Moving on to Slide 8. The all-in sustaining costs from our direct operations in 2017 was $856 per ounce of gold, 22% higher in comparison to a year ago. The cost applicable to sales in the full year was as follows. For gold, $759 per ounce, which is 9% higher than a year ago; for silver, $11.28 per ounce, which is 1% lower than a year ago; for zinc, $0.98 per pound, which is 16% higher than a year ago. In the case of copper, the cash cost was $1.51 per pound, which is 16% higher in comparison to a year ago. Moving on to Slides 9 and 10. You can see the volume of gold sold and the cost applicable to sales for each one of our gold assets. At Orcopampa, cost applicable to sales was $743 per ounce, an increase of 5% in comparison with 2016. As part of the debottlenecking program, our alternative ventilation plan for Orcopampa was defined, and fully implementation is expected in 2018. Tambomayo begun commercial production in August 2017, and in 2017, it will be Tambomayo’s first full year operating at total capacity, and production will be between 110,000 to 130,000 ounces of gold. Moving on to Slide 11. You can see the volume of silver as well as the cost applicable to sales for each one of our assets as that our part of our portfolio. Moving on to Slide 12. You can see the volume of copper and zinc sold as well as the cost applicable to sales for each of the assets part of our portfolio. Moving on to Slide 13, the debottlenecking program, which we are implementing in our biggest underground mine, is in progress, and results are expected to be seen gradually during the following periods. According to our economic analysis, we intend to generate total the EBITDA of $120 million to $150 million between 2018 to 2020. And this program will require a total CapEx of $35 million to $45 million throughout the same period of time. The debottlenecking program is meant to improve efficiency, reduce cost and also increase our capabilities for more aggressive planning development and exploration programs in order to generate more visibility for our ore reserves, increase our life of mine. We reckon that an extended life of mine means better mining plans, a more steady and recoverable level of production, resulting now increased market value for our underground mines. Moving on to Slide 14. Thank you for your attention. I will hand the call back to the operator to open the line for questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] Our first question come from the line of John Bridges with JP Morgan. Please proceed with your question.
John Bridges: Hi, good morning, Victor and everybody. Appreciated. The numbers are looking much nicer. The guidance for next year is looking good, very encouraging. Well done. I was just wondering if there’s any clarity on cash flows and dividends coming out of Cerro Verde this year, just as a first question.
Victor Gobitz: Thank you, John, as well as thank you for your question. Yes. We expect to discuss this particular case of the dividend of Cerro Verde in the coming AGM, the Annual General Meeting, that will be held on March. But clearly, Cerro Verde in terms of production and in terms of financial figures, it has a very robust numbers.
John Bridges: Exactly. And the turning out of the debt means that more cash is available for dividends, is that correct?
Victor Gobitz: I would say that the cash position of the company is robust. But to discuss about dividends, we prefer to state at the end of the AGM.
John Bridges: Okay. Tajo Norte, the reserves have jumped up a lot there. Does that make any mean any changes in the production plants there. Do you have a plan for 2018 as to how many tons are going to be copper-focused and how many are going to be zinc-focused, so we could manage our model there?
Victor Gobitz: Yes. Tajo Norte is one of asset that is part of El Brocal. As you know, El Brocal, we have the open pit Capra Norte and the underground mine, Marcapunta. The mix in terms of production will be answered by Gonzalo Eyzaguirre, our Vice President of Operations.
Gonzalo Eyzaguirre: Hi John. Yes. What we are planning to do is increase the copper production in 2018. Right now, we are producing around 8,000 tons a day. And in 2008, it increased the production to 10,000 tons a day in Q2 in the second quarter, and then increase the production to 13,000 tons a day in Q3. And that means that the production from Tajo Norte will decrease.
Victor Gobitz: Yes. Let me add some information, John, that the cases that the commercial terms for copper concentrate of Marcapunta have been increased, improved a lot. So it makes sense it’s more profitable to increase our copper production in the case of El Brocal.
Gonzalo Eyzaguirre: That’s right. The margin of copper is better than the zinc, so the idea this year is to produce more of the material that creates more value.
John Bridges: Yes. And it’s interesting you say that because your copper production was down a bit this quarter. Was that due to the buildup of inventories? Or was there something else going on?
Victor Gobitz: It’s because we were investing and developing a mine. We have to do some work improving salaries, ramps, et cetera, to be prepared for the 13K production. So – and for that reason, we mine part of the area in our underground mine that has a lower grade. But the idea, as I told you before, is to starting these second quarter of 2018 the production will increase to 10,000 tons a day. The equipment is ready now, is under commissioning, the tertiary crusher, the mobile crusher, the filter, the new filter. All the equipment is ready. So for sure, in Q2, we’re going to start producing 10K.
John Bridges: And the total throughput at El Brocal when you’ve made these expansions, how much of this is taking from the total and how much of it is expanding the total throughput?
Victor Gobitz: No, we will start the production from copper, from zinc to copper. The total production for 2018 will be around 18,000 tons a day. This is our base case in terms of processing capacity.
John Bridges: Okay. Many, many thanks. I’ll get out. Somebody else have a go. Thank you.
Operator: Our next question comes from the line of Botir Sharipov with HSBC Securities. Please proceed with your question.
Botir Sharipov: Hi, Victor and the team. Thank you for taking my questions. I got couple on Yanacocha and also on your the bottlenecking program. On Yanacocha, first question is, you guys bought anyone bought 5% stake of IFC, increasing your share of Yanacocha. Would be interested to know how this process went about? What’s the rationale? Is that something that you see at the Quecher main and maybe long term future pump you guys to make the deal? And also on Yanacocha, the company reported net loss, yet the cash cost were pretty good relatively speaking. I just wanted to maybe see if you could reconcile if there were any maybe items below the operating lines for Yanacocha like taxs or something else that’s sort of led to a net loss versus a positive EBITDA and a relatively decent cash cost? So those questions on Yanacocha. And as far as the EBITDA savings, the $100 million to $250 million EBITDA, is that incremental EBITDA that you’re looking to generate from the bottlenecking program over the next two years? Did I understand this correctly?
Victor Gobitz: Botir, thank you for your questions. You have three different questions. The first one is related to the rationale behind this increase our share participation in Yanacocha. First of all, I have to say that we have a very confident view of the long- term plan for Yanacocha. And trying to explain with more detail that concept here is Raúl Benavideshe will explain to you the Quecher Main project and the sulfide project, the exploration program in the underground part of Yanacocha. Please.
Raúl Benavides: Yes. Well, the Yanacocha is some project in hand. One is to control cost and to reduce fixed costs in order to allocate this new level of production. We are also working on optimizing the closure cost so that it is reduced. And as a way to bridge in order to getting the sulfide, there’s development of Quecher Main that need three things for a couple of years before getting into full production, but that will take us to the point where we can start production of the sulfide. We are very optimistic about the sulfide. There has been very good intersects in Chaquicocha that will increase the amount of oxides, high- grade oxides underground that can be processed in the gold mill. And also there’s an opportunity in the gold mill to generate some more ounces and better recoveries by adding some gravity and flotation cell. So in other words, we’re very confident that the Yanacocha future will come in a good way, but we’re in the transition in order to see these developments. And for new month says that the sulfides are in stage two of their project methodology.
Victor Gobitz: Thank you, Raúl. Your second question was related to the financial figures in Yanacocha. Leandro Garcia, our CFO, will answer it.
Leandro Garcia: Hi, Botir. The explanation of this in Yanacocha is a charge of $109 million in the last quarter due to an environmental liability update.
Botir Sharipov: Okay. Thank you. That explains it.
Victor Gobitz: Yes. And your last question, Botir was related to the debottlenecking program and the effect in the EBITDA. Here, Gonzalo he can tell of this program will explain in more detail.
Gonzalo Eyzaguirre: Yes. The number that we see there is the total of three years from 2018, 2019 and 2020. We expect to have an additional increase, an increase from $120 million to $150 million. And for 2018 we expect that the increase of the EBITDA will be around $15 million to $25 million. And what we already done in the debottlenecking project is the Esperanza tunnel, which is located in Marcapunta, El Brocal is ready. We will have a decrease in distance that will give us a lower cost. As I mentioned before, the main components of 30K project in El Brocal is – those components are in commissioning right now. The production, we expect the production will increase to 10,000 tons a day in the second quarter. Also, we have divided the integrated mining contracts all project in three phases. The Phase 1 of those contracts will be ready in Q2, in the second quarter. We expect a decrease in our cost, mining cost in our North area for that quarter. And then we have two other phases. Phase 2 will be ready in Q3 and the third Phase in Q4. So by the end of the year, we will complete this integrated mining contracts project.
Botir Sharipov: Okay. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Thiago Ojea with Citi. Please proceed with your question.
Thiago Ojea: Thanks everyone and congrats for deals. I just want to clarify on two topics that were mentioned. First, on the debottlenecking project. You mentioned a target of $120 million to $150 million EBITDA in 2020. But for 2018, it will only be $15 million to $25 million, is that correct? And second, regarding potential dividends on Cerro Verde. I know you still don’t have a decision on that, but it’s fair to assume that the second point some of the cash will be reimbursed to investors. Do you have at least a time line or expectation when this could happen? Thank you.
Victor Gobitz: Thank you, Thiago. Your first question is yes. And the debottlenecking project for 2018 is in the range of $25 million to $30 million. And your second question regarding Cerro Verde, we agree with you, the cash position is very robust. But at the moment, we don’t have a time line to share with you. But I will share with you as, obviously, when we have this information.
Operator: Our next question comes from the line of Carlos De Alba with Morgan Stanley. Please proceed with your question.
Carlos De Alba: Yes. Good morning. Thank you very much. Just wanted to go back again to the debottlenecking program. Do you have already a view on 2019? And I guess, 2020 will be just the remainder. But how much of the incremental EBITDA do you expect to achieve in 2019? And also, Victor, do you expect to report progress on this target on a quarterly basis or just at the end of the year? And then finally, maybe for Raúl. Was there any particular reason why the transaction or the bought out of the IFC happened with Yanacocha cash as opposed to the two shareholders, Newmont and Buenaventura, buying the stake equity?
Victor Gobitz: Okay. Carlos, thank you for your two questions. Yes, regarding the debottlenecking program, yes, we have a breakdown for 2018 and 2020. In a few minutes, Gonzalo will explain that. And also, the second question, Raúl will be answer.
Gonzalo Eyzaguirre: Yes, Carlos. As I mentioned before for 2018 is from $15 million to $25 million, 2018 will be around $35 million to $50 million. And 2020 we expect to be from $65 million to $75 million. And why in 2018 is lower? It’s because we are under the implementation of certain projects, so we expect that most of the gains on these projects will be in 2019. That’s the reason.
Victor Gobitz: And clearly, every quarter will be shared with you the advance of this project, sure.
Carlos De Alba: Excellent.
Raúl Benavides: Then Carlos, about the IFC the reason why the value of IFC sold is completely there are being with us since 1993, and they consider that their investment strategy was – had complied longer than they expected, so they were always looking to doing some transaction. Finally, with the knowledge we have of the sulfide and the new findings in Yanacocha, Newmont and ourselves, we feel very confident that the future of the Yanacocha is going to be a very good one. So we’re convinced that that’s a good buy, so finally, the IFC left. So now we’re looking forward to the sulfides. And in other projects, we have a view the future of Yanacocha that goes even further than the sulfide. And probably, you will see Yanacocha in a decade from now a copper mine or another gold mine.
Carlos De Alba: Understood. Thank you, Raúl. And just as a follow-up on that point. Do you see Yanacocha’s having excess cash right now or in the coming years? And that is why the transaction with the IFC was restructured as a share buyback?
Leandro Garcia: You said that the financial position that – the cash position of Yanacocha is around $700 million. But as a company, we prefer to keep this money into the banks because it’s one way to share and try to take control of our production plant.
Victor Gobitz: It’s money that we will spend in the sulfide so – and the sulfide project is going to – I mean, we’re looking to numbers and…
Leandro Garcia: $2 billion. So we think that we’ll need the cash. So there’s no sense in retiring that cash before time. And as Victor mentioned, it’s kind of an insurance disclosure. But once we have the sulfide project, the feasibility that the closure will reduce the value because we have a project going.
Carlos De Alba: Yes, that’s what I thought. But I just – it was a surprise to me that the purchase of the IFC stake happened with Yanacocha cash when the company is going to face some CapEx expenditures in the future. But thank you very much for the clarification
Victor Gobitz: Thank you, welcome. Carlos.
Operator: Thank you. Our next question comes from the line of Tanya Jakusconek with Scotiabank. Please proceed with your question.
Tanya Jakusconek: Yes, good morning gentlemen. I have two questions, one has to do with the debottleneck program, and the second one has to do with guidance. So just mainly on the debottleneck program, and thank you very much for the breakdown on each of the years. I just wanted to come back and ask you how the scope has changed from Q3? When we talked about the debottleneck program, the EBITDA improvements were going to be between $80 million and $85 million, and the cost was going to be $10 million to $15 million to implement. Now the cost to implement is $35 million to $45 million, and the EBITDA improvements are $120 million to $150 million. So we’ve seen an improvement in the EBITDA contributions. Can you talk about what you’re seeing that was different than Q3?
Victor Gobitz: Okay. Tanya, thank you for your question regarding the debottlenecking program. Gonzalo, who is here close to me, will explain it, it, will detail Q-by-Q the program.
Gonzalo Eyzaguirre: Yes, Tanya, what we have done is since Q3 is putting more details on this debottlenecking program. What I can say is that now, we have a detail of each of the project that we will implement during this year and the next year. And for sure, we have improved all of the things that we didn’t saw before, and that’s why we have an increase in CapEx and also an increase in EBITDA. Those are the reasons. But these are, for sure, it’s something that we will be revising. And probably, it will be – we expect that this – it will be better than now. These numbers are numbers that we believe are conservative numbers, and we could expect that this would be – this could be better.
Tanya Jakusconek: And when you said you added new things that were not part of last quarter, as an example, what are some new things you added?
Victor Gobitz: For example, a drainage system. We found in two of our operations that we need to improve the drainage system to decrease their operating cost and also in ventilation systems. That’s mostly the major CapEx investments.
Tanya Jakusconek: Okay. And then maybe on the second question, which has to do with my – the guidance. Thank you very much for the 2018 production guidance. Can you let us know what your cost guidance is and your CapEx guidance is for 2018? And also, will you be providing long-term guidance at your Investor Day, so maybe 2019, 2020, 2021?
Victor Gobitz: Tanya, thank you for your question. Yes, we have the details in terms of CapEx and cost for 2018. But for the coming years, we are still working on it. We have to, as I said, we have to increase the visibility in terms of our ore reserves in underground mines. For that reason, we are implementing these debottlenecking program. But for sure, for 2018, Leandro Garcia will share with you these numbers.
Tanya Jakusconek: Okay. Thank you.
Leandro Garcia: Hi, Tanya. Our budgeted CapEx for 2018 is around $180 million to $220 million. As consolidating, including our Coimolache, will be around $60 million more. Costs? What’s the second part, it’s the cost?
Tanya Jakusconek: Yes, the cost. So do you have a target for gold cash cost, all-in sustaining cost or silver cost?
Leandro Garcia: Yes. We have a cost, a cash cost for gold between $650 million to $700 million. Our silver cost, around from 9 to 10.50, basically, copper we have 147. The average cost we have for, yes, Cerro Verde.
Victor Gobitz: Yes, let me explain it in a different way, Tanya. In the case of gold, we expect a better results coming from Tambomayo versus the full year of total production – total capacity. And also, we expect a significant change improvement in the case of Uchucchacua, which is our silver asset, our main silver assets. And also, in the case of copper, we expect a significant increase in terms of production and reduction cost in El Brocal through these expansion of the underground mine, Marcapunta Norte. So these are the main drivers of – in terms of production and reduction of cash cost for 2018.
Tanya Jakusconek: Okay. Did I hear correctly that copper was $1.47 a pound?
Victor Gobitz: Let me check this number, because we – in that case, we depend on the cash cost of Cerro Verde. But you see only our number, only Marcapunta Norte, which is our copper asset. The cash cost will be in the range of $1.5.
Leandro Garcia: $1.5.
Victor Gobitz: $1.5 per pound.
Tanya Jakusconek: Okay. Thank you.
Victor Gobitz: You’re welcome, Tanya.
Operator: Thank you. Our next question comes from the line of Carlos De Alba with Morgan Stanley. Please proceed with your question. Mr. De Alba, you line is live, please proceed with your question.
Carlos De Alba: Yes, thank you very much. I was on mute. Just wanted to see, Victor, if you have any comment on Yumpaq, San Gabriel or Trapiche, they keep on advancing. What is the latest update that you use on them? Thank you.
Victor Gobitz: Thank you, Carlos, for the question. Yes, we have prepared a small, a short explanation. Raúl Benavides who’s in charge of this business development, will answer it.
Raúl Benavides: Well, let me tell you about Yumpaq. We are done in the ground. The idea is that the ore body is kind of flat and dipping into the – towards Uchucchacua. So we’re working on this because we haven’t been able to do much more drilling from the surface. We lose the – it’s too far, too long the drillings, and we’re losing a lot of holes. So we have resources of 1.12 million ounces, 1.8 ounces of gold or silver and with manganese for sure. So that makes 36 million ounces of silver. And then in Trapiche, we – today, where we have – the methodology that we generated was done by Ronnie Hickson and Trey Harvin, we have Trey Harvin today a week in Lima. He has gone to Trapiche to check, double check on where we are. And we should finalize this scoping level review this week. And then if we can finish this community agreement, we just to put you up to date. We have an agreement with the community, but we need access to the area. And because of that, we have been discussing with the community how to deal with this. And of course, if these things take time and you never can predict when they are going to finish. The only thing that is really getting us into – we’re not that up to date is in the geometallurgy. The metallurgist would like to do some piloting of the each part of the process in order to be ready to cope with this prefeasibility that should be ready before the end of the year. In the case of San Gabriel, we are now – we have made some geotechnical studies in Australia. And from there, people from [indiscernible] that are doing the studies, these rock type studies, they are looking into new mining methods, and they need more drilling. So we’re not going to drill in order to be sure that we will have all the geomechanics ready so that we can be sure of the mining method. With that, we’re reviewing the feasibility at the scope level. And we should have the prefeasibility ready by midyear or first quarter of this year. That’s where we are in these two projects.
Carlos De Alba: Excellent. And finally, why did – why don’t we decide not to bid for CPI?
Victor Gobitz: Well, good question. That’s a good question. Well, first of all, the exposure of Buenaventura to South America is very big already. Socially, they begin to say in South America that we were coping with all the mineral deposits in the area. We were the kind of the monopoly of the mineral resources in South America. So it will have been very difficult for us to do it. Plus we have an agreement with Newmont that we should look at this deposit as part of our joint venture. So – and the other thing is that we think that a third party can really generate a business case that includes that the taking ores to our plant where – that is we signed already for Conga and using the tailing dam of Conga. So this is – I think that’s having southern in CPI is a great opportunity for us. We were playing with the government. Our role of promoting CPI because by having a new kid in the block is very, very good for us, so that we can work together in getting these deposits done.
Leandro Garcia: Yes. Carlos, let me add just few information. The CPI is part of the district, copper district, which its share the area with Gelineau and Conga. So it makes sense that Raul said to analyze the synergies between these three different projects. And as Buenaventura, as part of Yanacocha, we have a portion of Conga. And also, these copper district is very close to the existing footprint of Yanacocha. It’s located to the east part of Yanacocha, a very close distance, around 20 kilometers. So we are in the area. And as Raul said, it makes sense. A third-party that will be part of this effort to develop mining activities in Cajamarca.
Carlos De Alba: And just to clarify – thank you for the response, and just to clarify, this agreement that the company have with Newmont to participate together in projects is just for Cajamarca deposit?
Raúl Benavides: Yes, well, this is part of – we consider and CPI is part of the orbit of Yanacocha. It doesn’t make sense that’s we’re competing there. We have to cooperate. And we think that there is the opportunity, as Victor said, to make a mega project with the facility that we had in Conga with [indiscernible] and maybe with Gelineau. And if the CPI comes into equation, then it will be, I think, a very good project. And with copper as it is today, I think that we have to look at it more closely. And we will invite southern to be part of this study and see if we can generate a very important project for Cajamarca.
Carlos De Alba: All right. Thank you very much.
Victor Gobitz: You’re welcome, Carlos.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of [indiscernible]. Please proceed with your question.
Unidentified Analyst: Good morning, guys. Thank you for taking my questions. Most of my questions are regarding guidance. The first one is, if you can share with us some guidance about exploration expenses, differentiating between brownfield and greenfield projects. My second question is regarding the production guidance for 2018 related to La Zanja, Julcani and Mallay? I understand that in this quarter – this last quarter, you processed some of the material from Uchucchacua in Mallay. Is this a trend that will continue in the future? And also, if these lower trends in the production of gold in La Zanja and silver in Mallay is a good reflection of what we should expect in the following years? Thank you.
Victor Gobitz: Thank you for your two questions. Let me start for the last one related to the guidance for our assets. As you know, Mallay and Julcani are two small underground mines. Julcani is our emblematic mine. We started 65 years ago in Julcani. And we have in Julcani a program to reduce volume and to increase in the ore grade. That means that to increase the profitability of these assets. It’s small. It has a very small impact in economic terms. And in the case of Mallay, it’s another underground mine, very small underground mine, where we faced some difficulties in terms of mine drainage. So we have decided to suspend, we suspended the deepening of the underground mine, and we are taking advantage of that. Mallay has a processing plant, which is located very close to Uchucchacua. So we are generating more profitability using the main part of the Mallay capacity as a plan treat the excess of ramp of mine that is coming from Uchucchacua. Finally, and in the case of La Zanja, La Zanja, as you know, has a low, a very low life of mine. We are working in an exploration program, in the process to replicate and the model that we have in Coimolache and also in Yanacocha because, as you know, La Zanja is also located in this area, in Cajamarca in the bottom part of the oxide deposit, there is potential to generate a business case through copper deposits. We’re working in that program, and that’s it. In general terms, the economic or the financial impact of these three assets is very small. We have different programs for each one. In the case of Julcani, our magmatic nomadic mine, we started that as part of the history of Buenaventura. In the case of Mallay, we have a short-term plan, trying to take advantage of the location. But in the long-term plan, probably we have to discuss a different way to deal with this small asset. And in the case of La Zanja, we are working together with Newmont to increase our exploration programs in order to create a long-term business case based on copper deposits. Your second question – or your first question was related to the exploration guidance. Raúl Benavides has some information.
Raúl Benavides: Yes. Well, this year – last year, we had an exploration expense in our balance sheet of $23.75 million, and this is a creation brownfield. The greenfield was just $3.4 million. And the drilling was we drilled 35 – 36 kilometers. And this year we plan to drill about 50 kilometers. This is what we have today. And as you can imagine, we’re focusing in brownfield. We’re doing very little greenfield because, today, it’s a time where you have to work on brownfields that complement your operations. And greenfield seem to be very costly for greenfield exploration. And also, there’s a lot of competition
Operator: Thank you. Our next question comes from the line of John Bridges with JPMorgan. Please proceed with your question.
John Bridges: Good morning again. I was just wondering, the proposed new mining method for San Gabriel, what are you testing the rock for?
Victor Gobitz: Well, the idea, John, behind this is, if we have to do cut and fill or we could use the long drill holes on that, so it depends on the quality of the rock in order to do one or the other. As you can imagine, the cost of one against the other is very big. So we need to have, really, an insurance that we can use this long drill holes with – we have to– do weight filling or tailing filling anyway, but we will – we need to know the quality of the rock in order to know what the mining method. And that makes a lot of money into the internal rate of return.
John Bridges: Understood. And yes, I was thinking you might be trying to do something unusual. And then on the reserves and resources, when do you think you’ll be able to put out your resource update? You’ve been doing a lot of extra drilling, I believe, to sort of beef up your visibility on your inventory reserves and resources. When will we see how much progress you’ve made on that?
Victor Gobitz: Probably in the coming Annual Report, you will see this information. But let me add also that in comparison to a year ago, in this year, in 2018, we have invest in at least more than 30% more in order to increase, as I said, visibility of our ore reserves. But at the end, during the – in the Annual Report, you will see that information. And in the coming quarters, it’s a good point to share with you our debottlenecking program and also our progress in terms of exploration.
John Bridges: Okay. Great. Could the reserves and resources be available for the Investor Day? Is that possible?
Victor Gobitz: Yes, it will be available.
John Bridges: Okay. Excellent. Thank you so much. Well done.
Victor Gobitz: Thank you. You’re welcome, John.
Operator: Thank you. Mr. Gobitz, there are no further questions at this time. I’ll turn it back to you for any final comments.
Victor Gobitz: Thank you. As Buenaventura’s team, we are committed to reach the 2018 targets, and in addition, to develop the full potential of our existing assets through the debottlenecking program, and also to implement a disciplined process for value generation for the development of our portfolio of greenfield projects. Finally, we would like to invite you to the Compania de Minas Buenaventura Investor Day that will take place on Tuesday, March 13, in New York City. Please contact our IR team for further information. Thank you again, and have a great day.